Operator: Greetings. Welcome to Faraday Future Intelligent Electric Inc. Second Quarter 2024 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. Please note, this conference is being recorded. I will now turn the conference over to Jonathan Maroko, CFO. Thank you. You may begin.
Jonathan Maroko: Welcome, everyone, to Faraday Future's second quarter 2024 earnings call. My name is Jonathan Maroko, and I serve as Faraday Future's Interim CFO. Joining me on the call today is our Global Chief Executive Officer, Matthias Aydt. We'll be sharing details from today's press release reporting our second quarter 2024 results. That press release can be found in the Investor Relations section of our website. A replay of this call will also be posted there later today. Please note that on this call, we will be making forward-looking statements based on current expectations and assumptions, which are subject to risks and uncertainties. These statements reflect our views only as of today, should not be relied upon as representative of views as of any subsequent date, and we undertake no obligation to revise or publicly release the results of any revision to these forward-looking statements in light of new information or future events. These statements are subject to a variety of risks and uncertainties that could cause actual results to differ materially from expectations. For a further discussion of the material risks and other important factors that could affect our financial results, please refer to our filings with the SEC. With that, I'll turn the call over to Faraday Future's Global CEO, Matthias Aydt.
Matthias Aydt: Thank you, Jonathan, and thank you everyone for joining our earnings call. I'm excited to share with you an update on our progress at Faraday Future, highlighting key milestones we achieved in our second quarter of 2024 and our strategic initiatives to continue moving forward. The start of 2024 marked a transformative period for the company. Our new China-U.S. Automotive Bridge Strategy positions us to leverage our cutting-edge AI and software technology across multiple market segments, potentially accelerating our mass market entry while maintaining our ultra-luxury offering. As we move forward, we remain focused on executing our global strategy and bring our unique vision of intelligent electric mobility to a broader audience. In addition, we recently held our first Investor Community Day to highlight our technology, our team and the developments that underscore our commitment to innovation, sustainable growth and demonstrate our commitment to stockholder value. The Investor Community Day provided an opportunity to experience the FF 91 first-hand. FF executives spent the day showcasing the company's core values and marketplace advantages. The event highlighted FF's unique product power, transformative technology, brand strength and innovative user ecosystem. FF has unveiled its innovative China-U.S. Automotive Bridge Strategy, marking a return to a two-brand approach. As part of its dual-home market strategy, FF expects to leverage its unique bridge value to integrate the strengths of the U.S. automotive industry with those of Chinese car companies and their respective supply chains. This strategy aims to establish a second mass market-focused brand by collaborating with China-based OEMs and part suppliers, focusing the 20,000 to 80,000 price segment below the FF brand. FF plans to enhance profit components with its proprietary AI and vehicle software technology with contribution of mechanical platform and supply chain purchases collaboration from China automotive industry, creative and compelling value proposition for the AI EV mass market. Our FF ieFactory enables full production capabilities, a solid foundation for the future collaboration with other OEMs by adjusting certain product lines, additional products could be integrated in the FF ieFactory in Hanford. The company continues to seek strategic financing. If strategic investments are secured, this could allow for a ramp in production and additional deliveries of the FF 91. Furthermore, incremental funding could support the development of the China-U.S. Automotive Bridge Strategy and progress our entry into the Middle East. FF also keep working to optimize operations to support sustainability. This includes ongoing evaluations of our current cost reductions and spending efficiencies, including daily operations and FF 91 material cost. Upon filing the Form 10-Q for the period ending June 30, 2024, the company continues to be compliant with Nasdaq on its timely reporting requirements. Hence, the only compliance requirement to be listed on Nasdaq is the minimum bid price before August 31, 2024. Through negotiations with existing investors on August 2, 2024, the company successfully refined the terms of the previously signed share purchase agreement related to convertible notes financing. Originally, the company could have been required to repay the principal and interest in cash upon the note's maturity. Following the agreement adjustments, most of the cash repayment obligations have been modified to share issuance obligations and the cash interest expenses will be significantly reduced. This agreement will help reduce cash pressure and should be conducive to subsequent financing efforts. FF's operational initiatives in 2024 also continue to progress. The primary focus is the production and delivery of vehicles, and we are happy we have delivered two more FF 91 2.0 EVs since June, with plans to deliver more throughout the remainder of this year. This marks the resumption of the start of delivery second phase, SOD2, that began last year. To date, we have delivered 13 vehicles to our valuable users. Product is king. We must continuously enhance the product and technology powers of the FF 91 2.0 to maintain FF's leading product and technology powers, focusing on the application research and development of AI technology including the vertical application of Generative AI in the mobility field. Starting in Q2 period, we have begun to produce the vehicle body and some interior components in-house, leading to significant cost reductions in these areas. Specifically, the cost of interior parts has been cut by more than half despite facing substantial financial challenges this year. Our supply chain successfully resumed SOD2 in June. Our production and quality control systems are also steadily maturing. At the start of the second quarter, we established a Middle Eastern sales entity in Dubai, signifying an important milestone in the company's expansion plans. With the entry into the Middle East, FF can look to implement a third pole geographic strategy. That includes the U.S. and China markets that are known for their strong appetite for cutting edge high-end products. The milestone builds on FF's Middle East strategy. It unveiled with the introduction of the FF brand in the region in 2023. Besides the activities to establish FF in UAE, the company continues to engage with potential partners in the Middle East to explore opportunities, including strategic financing, business development and sales and marketing. Jonathan will now provide us with an overview of our financials. He will also cover our fundraising efforts and detail the measures we have implemented to reduce costs and strengthen Faraday Future's financial position. Now without further ado, I would like to turn the call over to Jonathan.
Jonathan Maroko: Thank you, Matthias. I'll first summarize our financial results for second quarter 2024, then discuss our financing activities over this period, and close with an overview as to where the company is today financially. The company continued its efforts to control costs and reduce operating expenses. Operating expenses improved significantly to $29.9 million compared to $49.4 million in the prior year quarter. Loss from operations also improved to $50.6 million compared to a loss of $56.0 million in the prior year quarter. In the six months ended June 30th, 2024, cash from operating activities improved meaningfully to a $29.1 million outflow compared to an outflow of $160.7 million in the 6 months ended June 30th, 2023. The company had $457.9 million of assets, $309.2 million of liabilities and a book value of $148.7 million at quarter end June 30th, 2024. These results represent major cost reductions and cost discipline, and we expect continued cost reductions compared to the year-over-year periods through the rest of 2024. The next step is to increase our vehicle production and delivery levels. As for financing activities for Q2 2024, we successfully raised approximately $15.5 million of gross financing through convertible debt. Throughout our challenging cash flow period, the company has demonstrated the capacity to cut costs and manage cash flow. Cost reductions implemented across the board has been painful, but necessary. We have right-sized our operational footprint and workforce based on the current operational requirements and funding situation. We continue to believe our biggest barrier to vehicle sales and profitability is the capital required to produce vehicles at scale. Given our lean cost structure, each new dollar invested in Faraday Future can be utilized in a very efficient manner. With that, I will hand it back to Matthias.
Matthias Aydt: Thank you, Jonathan. Let me give you a look ahead. Our main focus remains on stabilizing and strengthening our operations. Key is achieving profitability and independence in the shortest possible time. To be able to achieve a higher market penetration in future, we are exploring multiple avenues. For FF, the U.S.-China Automotive Industries Bridge is envisioned to be a light asset, fast-paced, high-value model. FF could provide most of the major technology systems and technology platforms which serve as the intelligence sold at the neural network of the car. Looking forward, I'm filled with excitement for the path that lies ahead. We remain steadfast in our pursuit of growth through efficiency and our dedicated to elevating stockholder value. The journey ahead promises significant opportunities. And with our talented team at the helm, I am confident in our ability to achieve and exceed our objectives. We continue to believe the FF 91 is unlike anything on the road today. We look forward to the potential for ongoing production in 2024 to help the rest of the world come to the same realization. FF appreciates the trust shown by investors and would like to thank them for their loyal and ongoing support. Thank you for your time and interest in Faraday Future, and I look forward to providing you with further updates as significant events unfold.
 :
 :
Operator: Thank you. This will conclude today's conference. You may disconnect your lines at this time, and thank you for your participation.